Operator: Good morning, ladies and gentlemen and welcome to the Amerigon, Inc. 2007 Fourth Quarter and Year End Result Conference Call. At this time, all participants are in a listen-only mode. Following today's presentation, instruction will be given for the question-and-answer session. (Operator Instructions). As a reminder, this conference is being recorded, Tuesday, February 13, 2008. I would now like to turn the conference over to Jill Bertotti of Allen & Caron. Please go ahead.
Jill Bertotti - Allen & Caron: Good morning and thank you, everyone, for joining us today for the Amerigon, Incorporated fourth quarter and year-end results conference call. Before we start today's call there is a few items I would like to cover with you. First in addition it disseminating through PR Newswire, this morning’s news release announcing Amerigon's results for fourth quarter and year ended December 31, 2007 and e-mail copy of the release was also sent to a number of conference call participants. If any of you need a copy of the news release you may download a copy from either the Amerigon web site at www.amerigon.com or the Allen & Caron website at www.allencaron.com. Additionally a replay of this conference call will available on the Internet via link provided at Amerigon's website. Finally, I have been asked to make the following statement. Certain matters discussed on this conference call are forward-looking statements that involve risk and uncertainties and actual results maybe different. Important factor that could cause the Company's actual results to differ materially from its expectations on this call are risks that sales may not significantly increase, additional financing if necessary may not be available, new competitors may arise and adverse conditions in the automotive industry may negatively affect its result. The liquidity and trading price of its common stock may be negatively affected by these and other factors. Please also refer to Amerigon's Securities and Exchange Commission filings and reports including, but not limited to its Form 10-K for the year ended December 31, 2007. On the call today from Amerigon we have Dan Coker, President and Chief Executive Officer, Bud Marx, Chairman, and Barry Steele, Chief Financial Officer. Management will provide a review of the results and after which there will be a question-and-answer period. I would now like to turn the call over to Dan. Good morning Dan.
Dan Coker - President, Chief Executive Officer: Good morning, Jill. Good morning everyone and thank you for joining us for our fourth quarter and year end earnings results call for Amerigon. 2007 ended on a pretty solid note for our team and we were pleased with the results particularly the ability to be able to deliver on our promise in a tough market and tough economic times. As you know, 2007 was a pretty hard year for the auto industry and the US economy and more broadly into the automotive players in general. Amerigon in particular was pleased to report year end sales of about $63.6 million in top line revenue, which was about 25.7% higher than our previous 2006 total which was 50 million in '06. That number was delivered in a very tough market place and we are very pleased with the results for that. Barry is going to give you an amazing numbers here in just a few second and dazzle you with his knowledge of all the intrigue details and I just wanted to focus on those two numbers in particular. And also to mention that our units came very close to reaching the new in units in one calendar year. We did about 940,000 units in a calendar year which brings our total up to about 3.7 million since inception of the program. We are quite pleased to have some new programs join us in 2007. During the year we saw Jag XJ Sedan the flagship of the Jaguar line. And then later we hope to seeing the Jag FX which is all new version of the mid size sports Jag Sedan out. We've also had fairly recently the announcement of the Hyundai Genesis, which is an all new vehicle designed and build by Hyundai that will be targeted to the North America marketplace. But we are very pleased as Jill as said we are going to have Barry give a quick summary of the numbers, we are going to ask Bud to chime in and give us an update on how things are going with our advanced technology team and then we'll summarize briefly and open for questions. Barry.
Barry Steele - Chief Financial Officer: Thank you Dan. Just touching a few highlights for the quarter as Dan mentioned revenue was up. Our quarterly revenue was 15.4 million that growth is 9% year-over-year, 3% sequentially, driven by new program launches a couple of ones to mentioned, the MKX was launched late in the fourth quarter of the prior year and the new Hyundai Genesis was launched during this year fourth quarter. So that was driving the higher revenue. Gross margin, we had a high gross margin percent compared to our history for the quarter is 35.3%, that's a improvement of 1% over the prior year and 2.8% sequentially. This is driven largely by product mix. There is some benefit coming from fixed cost coverage in there, looking forward, we would not necessarily look for these higher percentages as we grow will be working to be in the low 30% range. Net R&D increased by 382,000 year-over-year and actually decreased by 144, 000. The increases are driven by our spending and our advanced thermal electric program which Bud will talk about in few moments and is a combination of both higher cost as well as lower partner revenue for the period. We talked in the last quarter, how Visteon one of our partners had backed off the program a bit and we are looking for additional partners on the automotive site of that program. We do expect higher R&D, net R&D cost as we go forward into 2008. SG&A increased also by 2.7% year-over-year, 6% sequentially that is driven by increase in our incentive plan as well as higher marketing cost associated with our expanding business in the next few years. On the cash flow statement, depreciation for the quarter is something that was 221,000 for the quarter for the year, it was 654, 000. Operating cash flow was strong once again in the fourth quarter with the 4.9 million in operating cash flow, 14.2 million for the full year. Some of this came from decreasing in working capital over these periods. We wouldn’t necessarily expect that to continue. We will start to grow a working capital as we grow the top line here in 2008. Another thing to mention is currently, we are not a cash tax payers so that helps us to have mixed operating cash flow. We expect to become a cash taxpayer to a large extent, sometime in early 09, so we have one more year of net operating loss utilization that will be will significantly offset any cash outlets for taxes and because of the strong cash flow, we have been able to increase our cash and short-term investments to now a total of $25.1 million. So that's helping the balance sheet become more strong. And those were the highlights on the financial results. I am sure there will be questions and I will turn it back over to Dan
Dan Coker – President, Chief Executive Officer: I am sure there will be questions. Bud we would like to see if we could get an update from you on how our advanced technology group is doing.
Bud Marx – Chairman: Thank you, Dan. Good Morning. One thing I want to say at the outset in general is that you will see as I said before because we are relatively small company. Our quarters bounce around, so no body should take our fourth quarter in extended and a straight line to the moon. I think that's the trend setter key and our ability to deliver on what we are seeing we will accomplish in our future periods. Turning to BSST, we have begun deliveries on our C2 personal heater and cooler with deliveries to Herman Miller. These are relatively low volume. We believe if we are successful and Herman Miller believes if we are successful, there is an opportunity for significant growth over the next two to three years. We will be likely announcing a second product in the second quarter for a different market place. This follows our strategy of entering niche markets using our technology to prepare for the development of IM markets that employs both our technology and materials that have greater efficiency than today's present materials. If I look down the road over the next two to three years, we have what I would describe as the wind at our back. We are seeing legislation very particularly in Europe, but that we expect to spread through the developed countries on carbon limitations that makes our dreams story and our story of not using HCFC and on being able to recuperate energy from waste heat, a very strong story. The second element of this which is technical development is also beginning to come into focus our own technology, we believe is in very good order and provide significant efficiency for thermal electric's. In addition we are seeing first in high temperature materials that are suitable for power generation developments after some couple of years of very slow progress and frustration, beginning to show promise of being more than lab curiosities. So, I guess I would say watch this space. And, as a consequence we are moving toward what I'll call long-term product development position for volume markets using our new technology and developing the capability to use materials when they're available in volume. So, that's a thumbnail of our position in BSST. If you look in the financial statements, you will see that our development support revenue is down and our development costs are up. And, we see that as a likely progression through 2008 as we pursue the opportunities that I've described, but I think we're in quite a stable position and we are getting support from other first year companies that are helping us to work on automotive product with the reduction that took place in the Visteon funding. So, all in all, I would say a very positive set of developments in BSST that should take shape over the next 2 to 3 years.
Dan Coker - President, Chief Executive Officer: Thank you very much Bud. We have one of the random thought when I look back at my numbers here that in 2007, our mix of business source from our markets around the world. Our US customers in the past had very heavily dominated our revenue sources in years past. It was about 75% North American customers and 25% international customers. In 2007, we ended the year with a little bit under 60% of our revenue came from North American customers, and a little over 40% came from our international customers. So, that's really just to kind of remind everybody that it is a very global business. It's a very big business. And, in the North American marketplace the three key competitors are having a bit of difficulty, but internationally there are still lot of growth and lot of opportunities that we had with our standard existing products of the climate controlled seats in addition to the other advanced programs that Bud has been referring to. So, I think at this time we'll summarize and open up the floor for questions and see what everyone has to see. Jill, I will turn it back to you.
Jill Bertotti - Allen & Caron: Operator, we are now ready for questions.
Operator: Well, ladies and gentlemen, we'll new begin the question-and-answer session. (Operator Instructions) Your first question comes from Casey Slevin with CJS Securities. Please go ahead.
Casey Slevin: Good morning Dan and Barry. Congratulations on the great end to the year. Your revenues were quite strong in Q4 and the high end of guidance for 2007, do you attribute this primarily to the increase in the number of platforms, a little bit of pricing, or just some sort of combination with both?
Dan Coker: I think it was actually a little bit more of higher volume, but from the platforms that we're on. There were couple of things that happened during the year that we found very positive. Two things in particular come to mind, the Lincoln MKZ and followed later by the Lincoln MKX, both had very high take rates for us and our product in the low 80s. They both made the decision that since the take rates were so high and the demands from the consumers were so high, that they would just make our product a standard feature. So, that joins a fairly small number of our customers that offer our product as a standard feature, but it's kind of the beginning of the convergence of our product becoming expected on certainly the high end luxury models. And, we saw that on a couple of places where the take rates have proven to some of our customers that it's a good idea to go ahead and include this in some of their bundled high-end luxury if not making them a standard feature across the board. And, to your direct question, yes we saw some very good solid strength that we were a little hesitant to completely re-correct our guidance based upon the market uncertainties. So, we were very pleased the way things worked out.
Casey Slevin: That's great. And, can you just visit the gross margin improvement and provide a little bit more detail there and also comment on your outlook going forward for that?
Dan Coker: Hi Barry
Barry Steele: Yes. Again, in the fourth quarter you saw spike in our gross margin percent and it's driven primarily by product mix from component-to-component-to-component. There are different margins that are sort of build in so they had a good affect for the quarter. But going forward we are still suggesting that of the low 30 range is really what's appropriate and what we will see as we go into 2008. There was also some fixed cost coverage that benefitted us and that'll help in future periods as well.
Casey Slevin: Okay thank you Barry. And can I ask you just to briefly touch on as you have some more of these BSST applications coming to the market, what margins you expect on these type of applications and what we can expect?
Bud Marx: Maybe I can deal with that. I think we' will see initially in low volume margins that are not typically at the 35% range. That was our track record in Amerigon as well when we first introduced the heated and cooled seats. It took us probably two years to work through both the low volume penalties, because we're going to be knife and forking this in California initially while we get our processes stable for what we believe will be a successful transition to high volume production. So these margins I would expect will be somewhere in the 20's and we expect to improve them as we did with seats as we get to higher volume production and as we get our supply base oriented, and also oriented toward high volume production. This shouldn't have any significant impact on Amerigon's margins because the volume should be relatively low in 2008 and then marching into 2009. But what it is doing is setting us up for very profitable high volume production when we hit that second gear. Sort of that kind of…
Casey Slevin: No absolutely that was a great overview Bud thank you. And lastly I guess Barry if you can just touch on what drove the lower tax rate in the quarter that I believe added about a penny to earnings?
Barry Steele: There are a number of things that actually make that up. We had re-estimated our full year impact. There were some benefits from the R&D credits as well as threw those up and recorded more credits for 2007. We would look at our tax rate being actually little bit higher maybe a 37 or 38 range for couple of reasons. Mainly in Michigan where we are a taxpayer and have some apportionment, net versus a franchise-type tax which was reordered above line. So, it's to be a reclassed in the provision. So, again, I would look for the high 30's as our tax rate as we go into 2008.
Bud Marx: This is bud. I actually think because we have some significant tax numbers moving both in 2007 and in 2008 because we made our full transition to being on an accrued rate as we recognized we weren't going to incur losses and we're going to be able to use all of our available loss carry forward. So I think it is much better to look at the operating income line for those two years and those quarters to get what I'll call a clean perspective on the trend in operations. And in those comparisons the numbers look quite good.
Casey Slevin: Absolutely, you guys have provided a robust outlook for 2008 so I appreciate it and keep up the good work.
Operator: Our next question comes from Brandon Farrow with Keybanc Capital Markets. Please go ahead.
Brandon Farrow: Good morning gentlemen.
Bud Marx: Hi.
Brandon Farrow: I wanted to start with your 2008 revenue growth guidance 30 to 40%. Is there anyway you guys can call out potential berry what's included in that guidance for just aggregate North American production, for instance?
Dan Coker: You want us to identify individual platforms?
Brandon Farrow: If you guys have any numbers in front of you where you can look to them and say for the programs that we have as we exit 2007 we expect production to be up and down X% in 2008 or if you want to just say North America that would be helpful as well.
Dan Coker: Well, I can't give you a specific percent, but I can tell you that built into our estimate is a reduction on all existing programs. We do factor in when we are doing our modelling. We're not going to get into whole of our modelling details for you. But we do factor in, based upon the age a platform in the marketplace, a normal decay for each of the volume units that are generated in previous years. And then we layer on top of that our projections and estimates of the estimated take rates and volumes of the new platforms of course that’s modified by wind platforms are expected to be introduced.
Bud Marx: Brandon, we could tell you more detailed, but we would be shot for doing it. Customers really don’t like us to make those kinds of projections.
Brandon Farrow: Certainly, understandable. We wouldn't want to keep all you guys around anyway so we'll refrain from doing that.
Bud Marx: Okay.
Brandon Farrow: Can you guys call out what the 4Q '07 volume was on new CCS programs introduced either in late '06 or maybe during 2007? I'm just trying to separate volume on preexisting programs versus new ones.
Dan Coker: That's a little bit of a complicated calculation for us on the call. It is something that I think Barry can come to. Its not very again broad strengths Barry, you have got a number in mind.
Barry Steele: Roughly if you look at new model growth was roughly for the fourth quarter $3.5 million to $4 million.
Brandon Farrow: Okay.
Barry Steele: This revenue was not there last year or we're getting a full year effect type of thing.
Brandon Farrow: Okay. And I know everyone is going to want to talk about mix in gross margins and you guys continue to guide toward the lower 30% range but if you look back historically, if you are looking at sequential changes and average selling prices versus gross margins, there has typically been an inverse relationship. So average selling prices go up, gross margins go down. This is a first quarter and quite some time where we broke that relationship. ASPs went up. Gross margins went up. So it implies something else. It took place in the fourth quarter. Is there anything taking place in the fourth quarter that might continue to take place in 2008 that we should be thinking about; what broke that relationship?
Bud Marx: No, I think you are drawing an incorrect correlation between those two statistics. Without giving you a lot of competitive information, I would say that not actually the case for those two things are running either inverse or direct relationship.
Brandon Farrow: Okay so…
Bud Marx: We would say that the fourth quarter is unusual and…
Dan Coker: And cannot expect it to be defeated.
Barry Steele: Yes.
Brandon Farrow: Okay. Dan I was just going to ask you a board related question, can you kind of just describe to me the mutual self interest of Mr. Devine joining the board certainly that’s a feather in your cap. Can you kind of walk me through that?
Dan Coker: Well, we are actually delighted with all of our board members. We have a rather exalted group of people who help advice us on how the business should be planned and run. Mr. Devine has a strong interest in automative market as you already have seen from his resume. But he is also keenly interested in our technology and how that might play out in the market place, as a kind of break through technology. He is a gentlemen to understand the automotive market and understands what the implications of technology like a highly efficient thermal electric would offer us. So I think that his interest is want to trying to see that Amerigon delivers on it’s a promise of improving the high advanced efficiency thermal electric devices in many applications, now just he did improve seat. Bud would you like to comment on that as well.
Bud Marx:
1:28:
Brandon Farrow: Fair enough. Thank you guys, I appreciate the time.
Dan Coker: Thanks for the call.
Operator: Our next question comes from Steve Dyer with Craig-Hallum. Please go ahead.
Dan Coker: Good morning.
Operator: Mr. Dyer, your line is open. If you are using a speaker phone, please lift your handset we are unable to hear you.
Steve Dyer: Can you hear me now.
Bud Marx: Got you.
Steve Dyer: Thank you. Sorry about that. I was wondering, if you could give us any color on sort of the linearity of revenue throughout the year, I assume it’s largely back half loaded specially Q4 even just based on when the new models were allotted? Is that correct?
Barry Steele: You are referring to 2008.
Steve Dyer: Yes.
Barry Steele: Yeah that’s very true. Actually we spend a lot of 2007 getting ready for 2008 launches. We had advertised as I have been pointing out this morning a 30 to 40% revenue increase during the calendar 2008. That would be generated from our rest of new platform launches that will occur mostly in the second half of the year. We've already had few early announcement that will help our partially in the second quarter and will drive a little bit our third quarter. But that announcement that will happen probably in the second quarter and the early third quarter will drive our revenues very strongly in the third and fourth quarters of this year. So it’s not a very linear thing, it has compares to shape of the hockey stick more this year than that has in the past. We will follow very much more the calendar model year paradigm that happens in the auto industry. Our first and second quarters should be slower growth in our third and fourth quarters which would be very significant.
Steve Dyer: Okay, great. Thanks. And then it’s too early to pin it down to something beyond 2008, but how generally should we think about growth accelerating kind of similar to '08, decelerating?
Dan Coker: Well we think that in '08 again we said '08 is going to be 30 to 40%, we believe that '09 has a very good chance of being somewhat similar perhaps on the low side of that growth rate. And then 2010 is going to be very similar again. So again, we are targeting 25 to 30% growth rate as one of our key focuses on our heated and cooled seat business and that and other new products are starting to come in on top of that as well. So we think we're going to continue to be a fairly stable, steady, strong growing business for the next three to five years.
Steve Dyer: Great. And then my last question just revolves around the heated and ventilated solution. When can we expect to hear something more about your first customer there?
Dan Coker: I would think something around the middle of this year you would be able to hear and maybe even see some of the early advertising. These will be of course targeted for the international markets. They are not directly targeted to the North American marketplace. So those of us who reside here won't be able to see in the light of these vehicles, but in the Asian markets in particular and more specifically in some of the developing countries this product is going to be introduced in mid year.
Steve Dyer: And how quickly might we see that product ramp under additional platforms in the next two to three years.
Dan Coker: We think that platform ramp up will be fairly steady over the next three to five years again as the interest in heating and cooling of seat surfaces or temperature of seat surfaces becomes more probable throughout the market including getting down into the mid level marketplace which is where this product is targeted, is toward the mid market product range.
Steve Dyer: Great, thanks. That answers my questions.
Bud Marx: Thank you.
Operator: Your next question comes from Steve Denault with Northland Securities. Please go ahead.
Steve Denault: Good morning everybody, nice quarter.
Barry Steele: Thanks Steve.
Steve Denault: You make reference to that you had a nice makeshift from '07 and '08 in terms of non-domestic revenue and it appears that you are referencing there will be a continuation of that in 2008. Is the implication that the driver of that would be the heated and ventilated seat?
Dan Coker: No, not necessarily at all; in fact the heated and ventilated seat is going to be, it is an entry, early program and we've seen a very good strong reaction, particularly in our Asian markets. And with our early successes in Europe we’re seeing a better blend of business. And that's what we're referring to. In 2008, we're going to see growth in both major markets in North America and in Asia. And we need to do more work in Europe.
Steve Denault: Okay. And then if we think about, if we go down a little bit more in the first half versus second half in the hockey-stick shaped nature of the business, should we be thinking about the first half in terms of single digit growth or something better than that year over year?
Dan Coker: We don't really break it down into that much specifics. We're saying that we believe the yield would be 30 to 40 and we think the majority of the big growth will be in the second half.
Steve Denault: Okay. And the final question directed towards Barry, the gross margin was pretty phenomenal in the quarter and your referenced product mix and a little bit of improved true put driving fixed class coverage. Is it majority of the improvement product mix and if so whatever color you can provide to help us better understand that would be very much appreciated.
Barry Steele: I can't give a lot more color but I can answer your question that is the product mix was more substantial than any improvement on fixed class coverage. As you know our gross margin is highly variable because of our contract manufacturing structure. And so that there isn't that much fixed classic area to cover so it is about all I can really add.
Steve Denault: Thank you.
Operator: Your next question comes from Mark Tobin with Roth Capital Partners.
Mark Tobin: Good afternoon guys.
Bud Marx: Hey Mark.
Mark Tobin: Good. Quick book keeping question Barry, what were the BSST expenses for the quarter?
Barry Steele: For the quarter, let me (inaudible) on top of my head. For the quarter it was net $800,000 cost for BSST.
Mark Tobin: Okay. And can you offer any color on the CapEx outlook for '08 and '09 obviously '07 we could see a decent amount as we prepare for '08. How do you view that going forward?
Barry Steele: Actually a lot of the 2007 CapEx was to refurbish our R&D facility about a million and a half, on Irwindale. That said that would imply that our CapEx will go down. Although that is not necessarily true, we will have some CapEx related to the new program launches, but certainly not very large amounts so we would look at it and it would be more flat to slightly up as we go into 2008.
Dan Coker: One thing from the BSST side that you might see late in 2008 is some CapEx to gear for additional level of product and volume and also to put us in position to take advantage of the new materials that can be incorporated in new product. I don't this will be a bank breaker but I do expect we'll spend some money in capital in BSST in 2008.
Mark Tobin: Okay and as far as the cash balance, you are now over 25 million in cash. Can you share any thoughts as far as plans for that cash and the way you look at it?
Bud Marx: Maybe I, Dan, and you probably should chime in on this as well. As we've had some discussion over this at the board level as well as amongst ourselves. My longtime partner who was a real pro in the investment world said you can never have too much cash and I think he was a sage guy. And what we see with the cash that's accumulating is the ability to move in a variety of directions if the opportunities present themselves both to expand our business, to take advantage of weakness on the part of others, and to enter new marketplaces without having to worry about being able to go out and raise the financial resources. So I see it and I think Dan and the board see it as a significant strength and an opportunity for the future that we'll obviously use judiciously. But having it is a significant strategic advantage.
Mark Tobin: Okay.
Dan Coker: And just to followup on that question, Mark, we very much think that having cash is better than having debt in our stage of development as a company, frankly also just put in perspective its only $25 million. It is not that big a pile of money and it is something that we're intending to husband until we see opportunities that could develop in terms of many of the things that Bud has just mentioned. So we think $25 million is a good thing. We have no debt on our balance sheet. We don't want to incur any debt and we want to be very flexible and very nimble if opportunities do present themselves.
Mark Tobin: Okay and then final question, there was the discussion about a little bit under 60% of '07 revenue was to US customers. Can you give a mix by end market as far as what percentage of the '07 revenue was actually sold within North America versus international markets?
Dan Coker: Yeah about 58%.
Bud Marx: No he's asking a different question Dan.
Dan Coker: Oh, I'm sorry, I didn't understand.
Bud Marx: He's asking how much of our revenue actually goes to vehicles sold in Asia for Asian customers as opposed to American.
Dan Coker: Okay actually we don't try to track that Mark. For us its is destination market wherein we don't really care where the product goes after it reaches the assembly factory and moves on for us.
Bud Marx: Actually we don't even really know, right?
Dan Coker: It's very difficult for us to be able to directly determine that as well; some of the product we could tell you directly where it goes and where it stays but it is difficult for us to track the vehicles after they leave the assembly plants.
Bud Marx: It's fair to say a significant amount of the Asian volume comes to North America. Probably a little less so, well maybe the same in Europe. But we just don't have those numbers.
Mark Tobin: Okay that's all I have. Thank you.
Dan Coker: Thank you sir.
Operator: Our next question comes from Tyson Bower with Wealth Monitors, Inc. Please go ahead.
Tyson Bower: Good morning gentleman and a great year.
Dan Coker: Good morning Tyson.
Tyson Bower: A couple of quick questions; can you give us a little color on what kind of concessions the OEM's are asking for this year and is that part of the gross margin decline as far as your guidance or you're seeing less content in your products in some of your newer platforms such as the F-Series and some of the other new ones that will be coming on later in the year?
Dan Coker: Well they are requesting very politely our first born male children and the left arms. And there is continuing pressure to try to fight down our prices particularly on the purchasing wings of our various customers. We continue to try to be good citizens and try to find ways to grant the efficiency gains in the pass the fruit to our prime customers and that is the continuous struggle and we work very hard at that. We win some quarters and lose some quarters. We have had a fairly steady year in 2007. In 2008 we expect to continuing pressure and of course cost savings are more and more difficult to find as life goes forward. But we do anticipate still being able to maintain our low 30 gross margin targets and continue to offer price concessions to our customers to help offset their cost pressures.
Tyson Bower: Okay. Are you just the way its working out in a way are you having some of your product introductions too OEF and have preferred to take less content and do more of the assembly themselves?
Bud Marx: I'm going to step in. You guys are all picking away at this gross margin issue. And we've been pretty consistent saying the low 30s is a very stable and good target for us that you'll get quarters that bounce around. Some of what you're asking, frankly for competitive reasons we're not really at all interested to share because there are a lot of competitors and customers that read these bits of information pretty carefully. So, I think Dan's statement is probably the one that should stand. We've a continuing pressure for cost reductions from our customers. We have responded to that with design innovations that permits us to bring costs down and our suppliers share in those efforts to bring costs down. And you get over time a kind of stability you can get a quarter that will bounce around because our design actions aren't matching the things that we're doing in order to remain in good standing with our customers. But in general we think we've compiled a very good record over time of above 30% gross margin which in this industry is quite outstanding.
Tyson Bower: Okay, thank you. The very last one, I'll touch on that one then. You talked about the hockey-stick growth and the revenue going through the year. Will we stay within that low 30% margin consistently throughout the year as we progress also or will we see any variability as we work through the year?
Dan Coker: There will be a little normal natural variability up and down by quarter to quarter and the overall scheme of things. We're still looking as Bud says, we target the 30s as our gross margin line and that's our business plan.
Tyson Bower: Okay, is your unit growth nearing your guidance for revenue growth? Or is it slightly higher?
Dan Coker: It will be slightly higher because we have offered price concessions to several customers and that will take down our average selling course.
Tyson Bower: Okay and the last question for Barry, what are you projecting for your cash tax rate in '08? Is that 7.5 or 10%.
Barry Steele: The cash tax rate would be about 2%.
Tyson Bower: And then you go to a full taxpayer in '09?
Barry Steele: Some time in '09 depending on where the final numbers are for '08.
Tyson Bower: Okay, thanks a lot gentleman.
Dan Coker: Thank you.
Operator: (Operator Instructions). Our next question comes from David Kowroski with Kowroski Investments. Please go ahead.
David Kowroski:
(inaudible) 3:49:
Dan Coker: The number of people who offered as a standard feature as opposed to an option?
David Kowroski: Correct.
Dan Coker: I don't have that number committed to memory. It's a very small number of our customers offered as a standard feature I can tell you who they are. The Nissan Infinity M45, the Lincoln MKX and MK, I believe the Jaguar XJ Sedan, the Hyundai Equis, offered in Asia, and the Cadillac XLR are the ones that I believe that currently offered as a standard feature. All the rest offered in some form of option to the consumer.
David Kowroski: If you see an increase in it becoming a standard feature, how would that affect your revenue, would it be more stable or not?
Dan Coker: It would affect us revenue wise positively, obviously, but most of the customers who make that decision are particularly the percentage of people who choose to take the option on that particular platforms are usually fairly rich, something in the 75% to 80% range typically when they convert. So we would see obviously somewhere around 20 to 25% gain on those individual platforms. So it would be very positive for us. The questions of whether that would be more stable, I don’t think we could actually directly a tribute being a standard on any vehicle as being a stable item, because their sales, their unit sales, fluctuate from year-to-year and season-to-season.
David Kowroski: Right. One final topic. Do you have an estimate for the value of the total luxury car market and not including you know, some of these mid prices vehicles that you are trying to get into, but just the pure luxury market, that’s your addressable market?
Dan Coker: Yeah we had to look at that and we kind of back into it and kind of generalization. With the total market averages around 60 million vehicles built each and every year. Approximately, 15% of those cars for more than $40,000 each and that’s the general kind of fun mail description of luxury or near luxury vehicle. So if you took around 15% of that 60 million you get somewhere around 9 or 10 million vehicles, and that would be somewhere around hopefully estimated 20 million seats and with our average selling prices of roughly $70 a seat. That’s was the total of addressable market is. Now we have seen, you asked us to ignore the rest of the market, but we are seeing cross over down into the middle market particularly as many of the consumers in North America go from the larger maybe you are going to see less fuel efficient vehicles, the SUV's and such and move (MTB) cross over vehicles and the more mid size vehicles. They want to take their luxury features with them and this is one of the features that we are seeing cross over demand going down into the mid level. Of course today its on the upper end of the dead level, but we do see a little bit of cross over which is not directly covered in our initial kind of global target market identification.
David Kowroski: How do you define that level price vise in the cars to mid level, you call it?
Dan Coker: I think it’s somewhere between 25 and 40 the mid price range cars, some below 25 or considerably entry level marks.
David Kowroski: Okay. And last question, going back to the luxury market, just the luxury market, what would you say your penetration rate is right now?
Dan Coker: Very small. I think in general, as I just mentioned earlier that we shipped about a million seats in 2007 and we just identified that there is roughly 20 million seats available. So I would say we have somewhere around 5% penetration in the high end market. Sorry, less than 5% penetration.
David Kowroski: All right. Thanks very much.
Dan Coker: Thank you very much for your call.
Operator: Your next question comes as a follow up from Brandon Farrow. Please go ahead.
Brandon Farrow: Hey guys, I just wanted to follow up on kind of what you are thinking about 2009 and 2010. I apologies if I missed this, did you instate that there wasn’t any heated and ventilated close in your assumption that you can kind of generate similar revenue growth in '09 and '10 compared to '08? Is that all CCS related growth?
Dan Coker: Actually, our projections do include the heated and ventilated products, what I refer to you earlier maybe you heard me say that the numbers we are referring to are only for our initial climate control seat business that includes the heated and ventilated products. But we do see 2009 and 2010 being a general continuation of what we have seen so far and again we are targeting the 25 to 30% range would be very good for us as a business.
Brandon Farrow: Okay. And then Bud I was just wondering, should we expect anytime during 2008 an announcement of a non-CCS auto related product for you guys?
Bud Marx: Interesting question. Let's put it this way, to incorporate new technology, into a vehicle in a way that you know, significantly changes the function of that vehicle system whether it would be heating and cooling or energy recuperation from waste heat. That’s a designer new vehicle proposition and therefore is I would say a 3 to 5 year cycle from where we are today. What you may very well see our announcement of our participations with OEs and programs that have good opportunity to lead to production and I can't forecast one of those things will break into print. But, certainly in the 2008-2009 period if we are successful, we could be talking about some of that.
Brandon Farrow: Okay. A fair statement there.
Dan Coker: A very fair statement and very good overview of what the situation and the realities are. It would also I think be safe to say that we have acknowledged publicly that we are working on projects outside of the seat in a couple of other different areas and so that is something that, that process has started, that Bud is referring to. So, we're underway. We're not predicting when any announcements will occur, but we are working on some projects.
Bud Marx: Okay. Just to carry this one step further, we look upon this whole development effort as a second string to our bow and a second kick to the value of Amerigon over a 3 to 5 year period. So, from our point of view many of you have been early and patient investors with us and what we are attempting to do is that you have a plan and you're executable delivery that creates value over an extended period of time rather than worrying about one quarter or the next quarter or CCS seats only.
Brandon Farrow: Okay. That's good. I appreciate it guys.
Dan Coker: Thank you very much for your call.
Operator: And at this time there are no further questions in the queue. I'd like to turn the call back over to management for any concluding remarks they may have.
Daniel Coker: Well, thank you very much. It's always good to hit questions from our various interested parties. And, as usual you have been mean to us and ask us questions we can't address completely, but in summarizing I would like to leave one part that we have very good visibility on how our business is expected to play out, particularly within a 12-month period. And, we have indicated to the market and again reiterated today that we do believe that this 2008 our revenues will be 30% to 40% higher than they were in 2007, and we've indicated today that we believe that 2009 and 2010 will also continue to be very good years for our business. We've also indicated that we believe that there will be some early announcements of some early developments of our advanced technology systems outside of the heated and cooled seat businesses that we are working today to implement and grow, and we believe that those will be interesting and I think we're somewhat predictive of what we are seeing in a longer range. We do have a lot of work yet to go both on the heated and cooled seat business we've indicated we have less than 5% penetration rate. We are working very hard to further penetrate these markets and to fend off competitors keeping them out of our space. We have a lot of positive things happening for us and we got a lot of good people helping not only guide us. We've mentioned our board of directors which is frankly it's a blue ribbon committee of advisors, management couldn't ask for a better group of people to come in and help us think through what we need to do, and what we need to do next. We also have a strong team of employees and management team members here who are helping us drive the original business model that we envisioned, really it's now for me, it's 11 years ago, but at least 10 years ago for most of the people who were involved in this project. And, we do see a continued financial success for the business. So we very much appreciate everyone's time and attention today, and as Bud is famous for saying, we ask you to again watch this space in the future. Thank you very much for your call.
Operator: Ladies and gentlemen, this does conclude the Amerigon Incorporated 2007 Fourth Quarter and Year End Results Conference Call. You may now disconnect and have a pleasant day.